Operator: Good day, everyone, and welcome to today's Nomura Holdings' Fourth Quarter and Full Year Operating Results for Fiscal Year Ended March 2015 Conference Call. Please be reminded that today's conference call is being recorded at the request of the hosting company. Should you have any objections, you may disconnect at this point in time. During the presentation, all the telephone lines are placed for listen-only mode. The questions-and-answer session will be held after the presentation. Please note that this telephone conference contains certain forward-looking statements and other projected results, which involve known and unknown risks, beliefs, uncertainties and other factors not under the company's control, which may cause actual results, performance or achievements of the company to be materially different from the results, performance or other expectations implied by these projections. Such factors include economic and market conditions, political events and investor sentiments, liquidity of secondary markets, level and political events and investor sentiments, the level and volatility of interest rates, currency exchange rates, security valuations, competitive condition and size, number and timing of transactions. With that, we'd like to begin the conference. Mr. Shigesuke Kashiwagi, please go ahead.
Shigesuke Kashiwagi: This is Shigesuke Kashiwagi, CFO. I will now give you an overview of our financial results for the full year and fourth quarter of the year ended March 2015 using the document titled Consolidated Results of Operations. Please turn to page 2. For the full year, both revenues and income increased year-on-year with net income at the highest level since year ended March 2006. Net revenue increased 3% to ¥1,604.2 billion, income before income taxes remained strong at ¥346.8 billion, but declined 4% year-on-year due to higher costs as a result of yen depreciation. Net income increased 5% to ¥224.8 billion as our effective tax rate declined due to improved profitability in our international business and other factors. ROE was 8.6%. The graph on the right shows the trend of income and EPS for the past five years. Compared to the fiscal year ended March 2013 when the current management team announced their first management target, our domestic business has grown and cost reductions focused on our international business have delivered results with income before income taxes increasing 46% from ¥237.7 billion to ¥346.8 billion. Net income roughly doubled to ¥224.8 billion due to the lower effective tax rate. We reported EPS of ¥60, beating our March 2016 target of ¥50 for the second straight year and taking a step closer to achieving our March 2020 EPS target of ¥100. Today, we also announced a year-end dividend of ¥13 per share for shareholders of record as of March 31, 2015. That gives an annual dividend of ¥19, up ¥2 from last year's ¥17 per share. Our dividend payout ratio is 30.8%. Please turn to page 3 for an overview of our fourth quarter results. We saw a rebound in our international business, particularly in EMEA and the Americas during the fourth quarter with net income at the highest level in two years. As shown in the graph on the bottom right, income before income taxes from our three business segments increased 68% quarter-on-quarter to ¥101.4 billion as retail and asset management remained resilient, and wholesale reported a significant improvement in profitability. However, group-wide income before income taxes declined 10% due to factors not included in the three business segments, such as losses related to changes to our credit spread, a decline in earnings of affiliates, and lower unrealized gains on securities. Net income was ¥82 billion, the highest in the past two years as our effective tax rate declined from 40% last quarter to 22% as a result of improved profitability overseas and lower tax expenses in Japan. Please turn to page 6 for an overview of results in retail. Full year net revenue in retail was ¥476.5 billion which, although down 7% from the particularly strong previous year, was in line with expectations and demonstrates continued progress in transforming our business model. Retail client assets reached a record ¥109.5 trillion. We continue to manage costs tightly and full year income before income taxes reached ¥161.8 billion, the third highest level in 14 years. Fourth quarter net revenue was ¥122.9 billion while income before income taxes was ¥40.9 billion. Although these results are down from last quarter when primary transactions and other stock sales were strong, we continued to see robust sales of global high dividend stock funds and products investing in global bonds. The Japan Enterprise Value Improvement Fund, which opened for subscriptions in March, has got off to a good start by tapping into client needs. Fourth quarter results also include one-off expenses such as a charge on decommissioning IT systems. Please turn to page 7. Fourth quarter recurring revenue in retail was ¥72 billion on an annualized basis, reaching our March 2016 target one year ahead of schedule. By focusing closer on meeting the needs of our clients, net inflows into discretionary investments and sales of insurance have grown significantly since last year, as shown in the bar graph at the bottom of the page. Please turn to page 8 for asset management. Full year net revenue increased 15% to a record ¥92.4 billion and income before income taxes grew 18% to ¥32.1 billion. In the investment trust business, strong market conditions drove inflows into funds seeking income gains and funds for discretionary investments. Internationally, our local asset management firm in Taiwan was consolidated and assets under management in the UCITS-compliant funds doubled. As a result, assets under management reached a record high of ¥39.3 trillion at the end of March, up 28% from last year. Fourth quarter net revenue remained solid, up 2% quarter-on-quarter at ¥23.9 billion despite the absence of dividend income booked last quarter. One-off expenses such as a charge for decommissioning of IT systems and an FX loss on an international investment led to a 29% decline in income before income taxes to ¥6.7 billion. Please turn to page 9. The graph on the left show continued inflows mainly into investment trusts backed by our highly-regarded investment management expertise. This helped drive an expansion in assets under management. The gray bar graph on the top-right shows our share of public investment trusts at 24%, the highest since Mach 2014. Please turn to page 10 for an overview of wholesale. Wholesale reported full year net revenue of ¥789.9 billion. There were some challenging market conditions during the year such as in the third quarter, but we were able to overcome this to report a 3% increase in net revenue as growth in our client franchise and robust performance in AEJ offset a slowdown in EMEA and the Americas. Income before income taxes was ¥82.2 billion. we continually reviewed performance throughout the year with an emphasis on profitability and capital efficiency, and we maintained our focus on pay for performance. However, higher costs due to the weaker yen led to a 26% decline in income before income taxes compared to the previous year. Fourth quarter net revenue increased 29% to ¥231.5 billion. all business lines reported stronger revenues versus the third quarter. In particular, fixed income in EMEA and the Americas rebounded from a challenging third quarter. Stringent cost control resulted in the highest quarterly income before income taxes in six years of ¥53.8 billion. Please turn to page 11 for results by business line. In global markets, as shown in the graph on the right, full year net revenue increased by 5% as Japan and AEJ offset a slowdown in EMEA and the Americas. Fourth quarter net revenue increased significantly, up 33% quarter-on-quarter to ¥199 billion. fixed income made a strong contribution with net revenue increasing 60% to ¥122.3 billion. as shown in the heat map, the Americas and EMEA reported higher revenues with rates and credit rebounding from a sluggish third quarter. AEJ revenues remained strong, although softer than the particularly robust third quarter. In Japan, credit and FX had a good quarter. Equities net revenue was up 4% at ¥76.8 billion. although AEJ slowed, the EMEA cash business was robust and derivatives improved in Japan and the Americas. Please turn to page 12 for investment banking. The graph on the top-left shows fourth quarter net revenue of ¥32.4 billion, up 11% quarter-on-quarter. Gross revenue was ¥57.3 billion, representing the best revenue quarter since December 2010. Revenues in Japan remained roughly unchanged from last quarter driven by multiple high profile mandates for convertible bond and retail bond issuances. International revenues increased quarter-on-quarter driven by EMEA and the Americas. As shown in the graph on the right, full year gross revenue increased 5% driven by a gain in international revenues of approximately 20% to the highest level in six years. As a result, international revenues accounted for over 40% of total investment banking revenues. Japan revenues remained roughly unchanged amid a decline in the fee pool of about 20%. Our market share in the ECM, DCM and M&A lead tables increased. Please turn to page 13 for an overview of expenses. Full year group-wide expenses were up 5% on year-on-year at ¥1,257.4 billion. While this is mainly due to yen depreciation, other factors included an increase in commissions and floor brokerage due a higher trading volume and the addition of consolidated subsidiaries. Expenses declined when you strip out these factors. Fourth quarter expenses were ¥329.6 billion, up 7% quarter-on-quarter due partly to yen depreciation. Other expenses increased by 25% due to the booking of a charge for the decommissioning of IT systems and the recognition of the FX loss on an international investment in asset management I mentioned earlier. Compensation and benefits declined when you strip out the effects of currency movement. As a result of the introduction of the full-career retirement scheme in the year ended March 2013, first quarter expenses trended up significantly for two years. We recently changed the part of this scheme and forecast that we can largely standardize the booking of these expenses throughout the year from the first quarter of the current fiscal year. Please turn to page 14 for an update of our balance sheet. Total assets were up ¥41.8 trillion. Gross leverage was 15.4 times. And net leverage was 9.3 times. Our Basel III Tier 1 and Tier 1 common ratios were 12.9%, up from 12.5% at the end of December as risk assets declined centered mostly on market risk. As shown on the top-right, applying the fully-loaded Basel III 2019 standard to our balance sheet at the end of March gives a Tier 1 ratio of 12.4%, up 0.7% from December. On the bottom left, we have initiated disclosure of a Basel III leverage ratio which was 3.8% at the end of March, and it's above the Basel minimum requirement of 3%. That concludes the overview of our full year and fourth quarter results. To conclude, we made progress in increasing international profitability during the year, and EPS grew 8% to ¥60. The transformation of our Retail business is starting to deliver results, and it's having us a spill-on effect to our Asset Management business. We made significant progress over the past year in expanding stable revenues. Our focus on performance reviews and Pay for Performance in Wholesale led to improved profitability in our international business. We can expect to see a further improvement in earnings quality as we offer more products and trade with new clients. Although loss before income taxes from our international operations was just over ¥16 billion, when you exclude provisions for legacy issues, our international operations were profitable. We remain focused on becoming leaner to ensure consistent level of profitability under any environment and working toward achieving our March 2020 EPS target of ¥100. Thank you.
Operator: We have our question-and-answer session now. [Operator Instructions] The first question is from Mr. Muraki of Deutsche Securities. Muraki-san, please go ahead.
Masao Muraki: Thank you. This is Muraki. I have two questions. First is related to your international business, and second is your policy on shareholder return. In your comment at the end of the presentation, you talked about the P&L from the overseas business. And if you set aside the costs for the litigations ongoing, it was profitable. That's what you mentioned. And in Q4, I think that you booked some good figures. But what are the risks of booking additional costs or reserves in the new fiscal year ending March 2016? And you mentioned how the international business is profitable excluding these extraordinary items. And your target is to improve the profit to ¥50 billion in this current fiscal year. But how has the environment been in April onwards? Is the environment favorable? And do you think you can achieve that target? And what's your current outlook on achieving that ¥50 billion target? My second question is about shareholder return. Over the past two years in March 2013 and March 2014, there was dividend and also the share buybacks which you announced. And you returned about 60% of your income. But for the March 15, that percentage has come down to less than 50%. And as of today, you have not made any announcement for share buybacks. As for your shareholder return in the March 2016 year onwards, you have announced the revised or a slightly revised dividend policy. But 60% – sorry, 30% of consolidated net income that you have outlined about is one of the benchmarks. So, will you continue to pay out 30% in dividends? And for share buybacks, if your PBR is less than 1 times, you might conduct share buybacks. Is that the way to think about your shareholder return?
Shigesuke Kashiwagi: So, on your first point, we are to achieve profitability in international operations. Are we going to meet the target of ¥50 billion? What are the measures to be taken? Allow me to answer that question. In principle, as I said in my presentation, of late, we have conducted performance review continuously and engaged in cost reduction on a continuous basis. In the second half, if you go look at the Wholesale division's numbers, I think they are pretty good. In the yen basis, it's pretty high. But in the dollar basis, it's lower. In recent months, in terms of the run rate, I think we're in the early $6 billion. The breakeven point is coming down. That is one point I wanted to clarify. With respect to our business, the market conditions, market environment into this new fiscal year for the Wholesale division is quite good. It's favorable. Well, it's true that the situation's mixed depending on the region. Asia and Americas are good; EMEA may be somewhat slower. So, amidst the circumstances, as I've said, the impact from the upgrade by Moody's in the fourth quarter, new clients that we've developed have increased more so than we expected. I think we are increasing the pace of new client acquisition since fourth quarter and onward. And in order to expand business going forward between regions, we have to have deeper product collaboration. We need to promote that further. And for that to happen, we have reshuffled management members. Those who were with RBU in Tokyo are transferred to AEJ, and AEJ heads are being transferred to Europe, the heads in Europe are coming back to Tokyo and becoming deputy heads of our markets, so we have reshuffled personnel. Our rates business is a quite challenging area in the third quarter last fiscal year. In the U.S. and EMEA, rates did have a dampening effect on our performance. And Nakajima who's in Tokyo, an executive officer, he's an expert on rates, and he will be the GM head in EMEA. So, from the head of Tokyo fixed income to European head, he will be moving. And we have also recruited new fixed income personnel, so we are strengthening our personnel in this area. And we are going to continue to work toward achieving the ¥50 billion target. Of course, market conditions are uncertain. That is the nature of the market. And are we going to stretch ourselves too far? No, we have to just build on the numbers that we've been building. On your first part of the question, special tranches, are they going to continue to happen? I think we have reserved everything that will – we see for the time being. If there's something new that comes up, any new news, the story may be different. But as far as what we can foresee, we have reserved sufficiently. And with respect to shareholder return, for the past two years, the ratio has been 60%, you mentioned. In our minds, we subtract the portion for stock options. So, I think this fiscal, return then was 42%. And as far as shareholder ratio is concerned, should we have a criteria and work toward it? No, I don't think we're going to do so. But as you mentioned, in the parish of 30%. It was raised from ¥6 to ¥13. Anyhow, it perhaps may have increased the uncertainty for [indiscernible]. So, 30% plus if there's enough capital surplus and if the share price is lower, then we may conduct a buyback. And the share price level, we've been watching EPS and PBR as one, that's in the criteria. We went on to say – we speak to you that criteria all the time, but we are watching that as of now. And if our international operations' profitability, why is this – the share price, I mean, go up. Are we going to do nothing? Not necessarily. We would – I would like to make decisions as per necessary.
Masao Muraki: Regarding your first point, you're trying to achieve ¥50 billion through making efforts in your business and implementing various initiatives. So, meanwhile, your balance sheet seems to have stopped expanding for the time being. So, what kind of – what will you do to increase market share? And you also seem to have been aggressively hiring in the U.S. But will you be further expanding your business or not in the year ending March 2016?
Shigesuke Kashiwagi: With respect to the balance sheet, as I've been saying since last fiscal year, net stable funding ratio, leverage ratio, there are such restrictions from the regulatory side. So, we need to value our resources and be careful as to how we use them. And this is something that I've always said. But the liquidity cost is charged to the front desk. So, the front desk – the front office for that business that uses the balance sheet, they are reviewing such business, and that is why we have reduced the size of our balance sheet. Are we going to continue to reduce the size of the balance sheet? We don't know yet, but return on the balance sheet, that is something that the front office is very much conscious of right now. Regarding personnel recruitment, front offices are recruiting people in Investment Banking Americas. That's where the main recruitment is happening. Now we don't have a fine breakdown of where personnel are, but I don't think we've seen a major increase in global markets. The total staff has increased by 800 to 900 in the past year, but that's mostly in AEJ. We have a subsidiary in Thailand, and we also have an asset management firm in Taiwan. We acquired them, and as a result, staff increased to 700 to 800. So, the main increase in Wholesale is in the U.S. Investment Banking division. And of course, we have to watch our profitability as we increase the staff. We will not overly increase our staff. Thank you.
Operator: Next question is from JPMorgan, Ms. Tsujino. Ms. Tsujino, please go ahead.
Natsumu Tsujino: I have three points. First of all, on expenses in others, ¥68.6 billion in the three months' period. Earlier, you talked about decommission of IT systems and FX loss. So, I think they are included here. And reserve for litigation costs in the past, that's also being reflected here. So, all in all, when everything's included, how much increase has there been? And in association with that, I'm sorry for going into detail. But does reserve by segment so, where is it included in the other segment? In terms of numbers how large is it? You may not be able to disclose all of that. If you could just tell me where it's included and where it's at to compensation and benefits?
Shigesuke Kashiwagi: Looking at the profitability of global markets compared to FY 2013, in FY 2014 I think profitabilities are quite good compared with what was achieved the previous year. And last fiscal year, during the term, I think compensation and benefits increased by ¥30 billion also and in the first quarter this fiscal year. So, let's say that we annualize the amount expensed in FY 2014, and are we going to see one quarter of what was posted last year in the first quarter. So, ¥144 billion, that's total compensation and benefits. So, it won't be ¥10 billion but close to ¥10 billion could possibly be posted in the quarter are on the right track, is the image that I have correct? So, that's my second question. And another point, global markets revenue. Well, this time, Wholesale performance was led by global markets. Is this sustainable? It's my question. Rating by Moody's was improved, you mentioned. And were you able to get income from certain deals unexpectedly, or it was too good? If there were such factors, please share with us.
Shigesuke Kashiwagi: Okay. First, let me answer your question about whether it is sustainable. I hope it is, but if there's a – if ECB lowers the interest rates, with the lowering of it, in EMEA, our earnings are improving significantly. So, in the Americas, the rate trading has not been that strong, but with the new hires that we have made, our revenue opportunities could expand. And so, we are – I do have hopes for that. So, for the overall Wholesale figures, I don't think it will be or it could – if it's flat, I think we are – we would call ourselves lucky. And your second question, I didn't quite get what you were asking. But let me attempt to answer it. For March 2015, the expenses in March 2015, so the FCR, Full Career Retirement in March 2016, it will be booked on an even basis for each quarter, so it would be leveled out. And just give me a minute, please. I think in the compensation and benefits for this year will be quite close to one-fourth of the total amount for the last fiscal year, and that's for the Full Career Retirement, frankly speaking. There will be an increase in the number of people eligible for Full Career Retirement. The head count of people eligible will increase. Meanwhile, there have been some bonuses that have been pushed forward, and this will gradually decline. So, on a net basis, I think the impact will be flat. Of course, it is up to how well we do in our business. Please keep that in mind. As for your first question, sorry, give me a few minutes, please. Sorry about that. As for your first question about the Q4, the ¥68.6 billion of expenses in others, Q3 was ¥55 billion. So, on a net basis, it's an increase of ¥13.6 billion. And the reserves for the past issues, this is booked in others within the segment Others. And it is booked in the trading P&L. And as for the ¥13.6 billion of cost increase in Q3 and Q4, this is related to the decommissioning of IT systems and also the effects, losses in the Asset Management division.
Natsumu Tsujino: So, decommissioning of IT systems and FX, most are part of that segment? So, these are reflected in the segment profit and loss?
Shigesuke Kashiwagi: Yes, that's correct. It is booked in Asset Management and Retail divisions.
Natsumu Tsujino: What about the – our cost of litigation, and that's part of the others in the last line?
Shigesuke Kashiwagi: Yes, that's correct.
Natsumu Tsujino: So, ¥11 billion for others in the Other segment, is that correct if I remember correctly?
Shigesuke Kashiwagi: If you could wait for a moment. Yes, negative ¥11 billion. That's included as well.
Natsumu Tsujino: So, valuation gains on subsidiaries, I think there was some of that in the third quarter last fiscal year, what was the situation?
Shigesuke Kashiwagi: As for the bank subsidiaries and also the bonds owned by the affiliate companies, yes, there – we did book a loss in Q4, and that is included in others – in segment Other.
Natsumu Tsujino: So, if everything was included, it was negative?
Shigesuke Kashiwagi: Yes, that's correct.
Natsumu Tsujino: Thank you. Understood.
Operator: The next question is from Mr. Yamanaka of Credit Suisse Securities. Yamanaka-san, go ahead.
Takehito Yamanaka: Just one question from me, please. This may be somewhat of an overlap with your previous answers, but based on what you have said for the Full Career Retirement and the expenses for the ongoing litigations, and also Q4 being somewhat exceptionally good, if you look at the total international segment, the ¥50 billion annual target does not seem that far off or far, far away. So, could you just go over the current situation about that, please?
Shigesuke Kashiwagi: So, what you mentioned, in the third and the fourth quarters, well, profitability in AEJ starting from the second quarter, we believe that that is sustainable to a certain extent. And if there's going to be no major negative impact from anything else or considering the current level of possibility, we do believe that ¥50 billion is the target that is very much achievable. But we are reliant around the Wholesale business, meaning that we depend on market conditions, in particular fixed income. So, fixed income rates and credit spreads all depends on those conditions. And are we going to go after risk accessibly? No.
Takehito Yamanaka: Thank you.
Operator: The next question is from Mr. David Louie from Guoco Management [ph]. Please go ahead.
Unidentified Analyst: Yes. Thank – congratulations, Kashiwagi-san, for a great set of results for the March quarter. I have two or three questions here. The first one is for page 7 of your presentation. Page 7, the title is Retail reached March 2016 recurring revenue target early. Could you tell me – there was a number there for net inflows of cash and securities of negative ¥137.3 billion. Could you shed some light on why there was a negative number here when the market was pretty positive, favorable for the securities firms in Japan? And yet you experienced some fairly sizeable outflow of cash in securities. Thank you. That's my first question.
Shigesuke Kashiwagi: Okay. Can I answer the first question first? By the way, hello. How are you?
Unidentified Analyst: Good. How are you?
Shigesuke Kashiwagi: So, regarding the cash outflow from our Retail division, unfortunately, I have to admit this is very normal when it comes to the March 31 which is financial year-end. A lot of the cash moves back due to some of the relationship pattern deposit. That's what my suspicion would be. This is a very normal phenomenon. As a matter of fact, most of the cash outflow happened during March. January and February, we have seen an increase of the cash into their accounts. And the – actually, the – it was exaggerated in the fact that the – towards the end of the March, that we do have a strength of the market. So, there was a profit taking. And so, the corporate account shifted cash out of the Nomura account to the banking account.
Unidentified Analyst: Thank you. Let me move on to the second question. It's on page 22 of your presentation. At the bottom part of the slide, for the fourth quarter, you are showing that the pre-tax income for Asia excluding Japan of ¥10.3 billion which is about a little bit close to 9% of the total of ¥105 billion. Of course, these are very good results, and for two quarters in a row, as you pointed out in your comments. Could you break down this ¥10.3 billion into a global markets versus investment banking for the Asia excluding Japan geographical segment? Thank you.
Shigesuke Kashiwagi: I think I have to be – majority of that revenue on PTA is coming from the global markets. Aside from the global markets, we do have a small profit from the Wealth Management division in Asia and also the revenue or net PTA from the Taiwan broker-dealer operation. I don't think that accounts for more than 10% of this number in aggregate.
Unidentified Analyst: Okay. Thank you. My last question is on the potential reserves also which someone asked before. With regard to the situation in Italy, is it fair to say that you have not made any provision yet for the Italian situation? And do you think that there's imminence that you may have to start making provisions there?
Shigesuke Kashiwagi: It's our policy not to comment on the specific legal cases. But meantime, one thing I can say to you is that the – including the – everything, as far as we know, we took out everything in terms of reserving the money for the possible litigation as of March 31, 2015.
Unidentified Analyst: Okay. Thank you, Kashiwagi-san, and congratulations once again on increased set of results for the March quarter.
Operator: The next question is from Mr. Niwa of SMBC Nikko Securities. Niwa-san, please go ahead.
Koichi Niwa: I'd like to ask about the Retail division and also the international business, a question each. For Retail, I'm looking at page 7. In Q4, the discretionary investment monthly average of ¥115.8 billion, how do you see this figure? And also, how do you assess the current situation? Could you talk about the discretionary investment business in domestic retail? And also, in terms of March 2016, are you ready to raise your targets? My second question is somewhat overlapping with some of the previous questions, but the ¥50 billion target for March 2016 which means ¥12.5 billion per quarter, and the AEJ outlook seems quite firm, but what about the Americas and EMEA, what is your outlook? And could you – so, basically, I'd like to know the regional, geographical breakdown of the ¥50 billion target. Thank you.
Shigesuke Kashiwagi: Yes. First, on our Fund Wrap business, in August, we made an announcement last year. Or rather, it was in December when we made the announcement. Fund Wrap balance has – well, from the balance in October, we are going to increase by ¥3.1 trillion in the next five years. And our net increase that we're experiencing right now exceeds the pace that we have planned. ¥3.1 trillion, let's say that we achieve that number, and it depends on our market share, but balance in the U.S., $3.97 trillion or ¥500 trillion. Well, that's the number given. So, in light of that, I think we still have ample room to grow. And as far as the current conditions are, they continue to be robust and very favorable. And we're not thinking of revising our target for the time being. And on international business, ¥12.5 billion per quarter if you divide by four, and AEJ is starting to look very good. And then maybe some of you who remember but one year ago, I was skeptical about the AEJ business. So, we don't have a clear picture as to what the breakdown should be. But we would like to continue to have diversified portfolio in terms of products and regions. Otherwise, we will not be able to meet the ¥50 billion target. At this moment, in terms of the profitability, AEJ is going to be most profitable.
Koichi Niwa: Thanks very much for the clear answer.
Operator: Next question, Morgan Stanley MUFG Securities, Tanaka-san. Mr. Tanaka, please go ahead.
Koki Tanaka: My name is Tanaka from Morgan Stanley MUFG Securities. Thank you very much for your presentation on the performance. And my questions may overlap with the ones that have been raised, but just one point. In the fourth quarter, you have provisioned reserve for the litigation cases. But page 10 and page 22, when we look at those slides in the Americas ¥30 billion Q-on-Q, or rather ¥2.4 billion, or rather ¥24 billion investment. On other hand, if we look at page 22, pre-tax income. In terms of the pre-tax income, it has now grown as much as the top line. So, why the gap? And page 10, ¥26.8 billion of revenue in EMEA increased to ¥65 billion, thus, increasing the top line on page 22. The increase in income is only ¥2 billion. So, how should we view the litigation cost going forward if you could share that with us?
Shigesuke Kashiwagi: Okay. As for the first point about the Americas, I may be wrong, but on page 10, this is the management accounting basis. And in – within Americas, this includes in the litigation expenses and trading expenses. But in terms of the segment, it's booked in the Other segment. So, as for the table on page 10, this does not include the provisions for the litigation. Meanwhile, on page 22, the figures do include the provisions for the reserves for litigation. Another point is, on page 22, this applies not just to Wholesale but also to Asset Management. This also has the Asset Management earnings. And in the Americas, we have quite a sizeable Asset Management business, and the figures for that are included on page 22. As for the EMEA revenue, ¥39 billion. On page 10, there's growth of ¥39 billion. But there's only ¥18.2 billion growth on page 22. This is because, as mentioned earlier, page 10 is management accounting. So, the traders in EMEA have done business, and they have generated revenue. However, there are cases where some of the revenues booked in other geographies such as at the Americas or maybe in Japan as well. Another thing to point out is that page 22, this includes CVA and OCV, so there's a gap of ¥10 billion quarter on quarter, which is another reason for the difference between page 10 and 22.
Koki Tanaka: Understood. Thank you.
Operator: [Operator Instructions]
Shigesuke Kashiwagi: Thank you. This is Kashiwagi again. Thanks for participating till late in the evening. Looking over the past fiscal year, March 2015, there are some things which have – which we have left undone. But generally speaking, I think it was a good year, and we have made progress in what we wanted to do, and we are starting to see the results of these efforts. For example, in Retail, just a year ago when we had this conference call, I think we talked about PTA of ¥22.2 billion in Retail. And there was a question about some of the Retail business that's confusing in the Retail branches. But actually, we have done very well in focusing on the advisory functions, and we are starting to see good results. For Asset Management, we have been helped by the market growth. But as we saw in our presentation, our share has grown. And as the top broker, I think we are achieving good result. We're quite – I'm quite confident about the good results we are achieving. Lastly, for Wholesale, we continue to maintain a dominant position in Japan. Meanwhile, the AEJ business has been launching and improving. As for EMEA, there was a very unfortunate incident in Q3, but we have replaced some of the positions, people in position, and we have also shrunk our unprofitable businesses. So, I think we are ready to – in March 2016 to achieve the ¥50 billion in overseas profits and also, make further progress in Retail, Asset Management achieve the ¥100 EPS target. We look forward to your continued support. Thank you.
Operator: Thank you for your time. And this concludes today's conference call. You may now disconnect your lines.